Operator: Good morning and welcome to the PennantPark Investment Corporation’s First Fiscal Quarter 2017 Earnings Conference Call. Today’s conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be open for a question-and-answer session following the speakers’ remarks. [Operator Instructions] It’s now my pleasure to turn the conference over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Investment Corporation. Mr. Penn, you may begin your conference.
Arthur Penn: Thank you, and good morning, everyone. I’d like to welcome you to PennantPark Investment Corporation’s First Fiscal Quarter 2017 Earnings Conference Call. I’m joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include a discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I’d like to remind everyone that today’s call is being recorded. Please note that this call is the property of PennantPark Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and PIN provided in our earnings press release as well as on our website. I’d also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today’s conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com or call us at 212-905-1000. At this time, I’d like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Arthur Penn: Thank you, Aviv. I’m going to provide an update on the business starting with financial highlights, followed by a discussion of the overall market, the overall portfolio, investment activity, the financials, and then open it up for Q&A. For the quarter ended December 31, 2016, we invested $229 million and an average yield of 11.2%. Net investment income was $0.21 per share, which included $0.02 per share of a fee waiver. NAV increased from $9.05 per share to $9.11 per share. As we mentioned last quarter, we are adjusting our dividend to $0.18 starting this quarter ending March 30. We believe that this dividend rate is sustainable. As a result, we believe that PNNT stock should be able to provide investors with a steady dividend stream, along with potential upside as the energy market stabilizes and our equity call investments mature. With regard to the overall market, the economic signals have been moderately positive. With regard to the more liquid capital markets, and in particular the leverage loan and high yield markets, during the quarter ended December 31, those markets experienced strength as high yield and leverage loan funds experienced inflows due to a belief in a stronger economy and rising interest rates. We remain focused on long term value and making investments that will perform well over a long period of time and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have low leverage, strong covenants and high returns. As credit investors, one of our primary goals is preservation of capital. If we preserve capital, usually the upside takes care of itself. As a business, one of our primary goals is building long term trust. Our focus is on building long term trust with our portfolio companies, management teams, financial sponsors, intermediaries, our credit providers and of course our shareholders. We are first call for middle market financial sponsors, management teams and their intermediaries who want consistent, credible capital. As an independent provider free of conflicts or affiliations, we've become a trusted financing partner for our clients. Since inception, PennantPark entities have financed companies backed by over 170 different financial sponsors. Our portfolio is constructed to withstand market and economic volatility. In general, our non-energy portfolio is performing well, despite a mixed domestic and global economy. We have cash interest coverage ratio of 2.5 times and a debt to EBITDA ratio of 4.9 times at cost on our cash flow loans. We are pleased that we have diversified funding sources with several features that reduce the overall risk to the company. First we have $321 million of long term unsecured bonds and have only utilized about 25% of our long term $545 million credit facility. Second, as we discussed, we're utilizing the expanded capacity under the new SBIC legislation. SBIC financing creates financial cushion and that we have exempted relief from the SEC to exclude SBIC debt from our BDC asset coverage test. And SBIC accounting is cost accounting, not mark-to-market accounting. Third, to better align the measurement of asset and liability values for both GAAP and the BDC asset coverage test, we mark both our assets and liabilities to market. As a result of these features, we’ve provided substantial safety to our shareholders, bondholders and lenders in the event of market volatility. Additionally, with assets yields coming down over the last several years, we're looking to create attractive risk adjusted returns in our portfolio. We intend to focus on lower risk primarily secured investments, thereby reducing the volatility of our earnings stream. On the asset side of our balance sheet, as indicated, we’re prioritizing secured assets. Investments secured by either our first or second lien are 72% of the portfolio. Due to all these factors, we remain comfortable with our targeted regulatory debt to equity ratio of 0.6 to 0.8 times. During the past year, we've had the opportunity to restructure most of our challenging energy names. Generally, post restructuring, these companies are now positioned to weather a period of prolonged lower energy prices and should benefit from the gradually improving environment. We believe it will take more time for us to maximize the recovery on the energy portfolio. Despite the great recession and credit crisis, PennantPark Investment Corporation has had only 12 companies going on a cool out of 182 investments since inception 10 years ago. Further, we are proud that even when we have had those non-accruals, we've been able to preserve capital for our shareholders. Through hard work, patience and judicious additional investments in capital and personnel in those companies, we've been able to find ways to add value. We constantly monitor our deals and we underwrite them in the face of new information. Situations where the best long term value for shareholders is created by taking control of the companies and providing capital and expertise, we do. Based on values as of December 31, today we have recovered about 80% of the capital invested in those 12 companies that have been on non-accrual since inception of the firm. It might be helpful to highlight our long term track record over 10 years, including the great recession. Since inception, PNNT has made 182 investments totaling about $4.2 billion at an average yield of about 13%. Including both realized and unrealized losses, PNNT lost only about 45 basis points annually. In terms of exits, we had two equity co-invests leave the portfolio when the companies were sold. Our $2.3 million equity investment in Vestcom was realized at $11.6 million for a 65% IRR and a $1.5 million equity investment in Power Products was realized at $5.1 million or 57% IRR. In terms of new investments, we had an active quarter investing in attractive risk-adjusted returns. In virtually all these investments, we've known these particular companies for a while, have studied the industries or have a strong relationship with the sponsor. Let's walk through some of the highlights. We invested $38 million in the second lean term loan for Acre Operating Company, which provides hardware, software and ancillary products used in security systems. LLL Partners is the sponsor. Cano Health operates medical clinics in South Florida. We lent $10 million of first lien term loan and purchased $2 million of equity co-invest. InTandem Capital Partners is the sponsor. We invested $15 million in the first lien term loan of East Valley Tourist Development Authority, which owns the Fantasy Springs Resort and Casino in Palm Springs, California. Harbortouch Partners Payments is a non-bank payment solutions provider. We invested $22 million in the second lien term loan. Searchlight Capital Partners is the sponsor. We lent $14 million of first lien term debt and purchased $1 million of equity co-invest in Juniper Landscaping of Florida, which provides landscaping services. DS Fund is the sponsor. Montreign Operating Company will operate the Montreign Resort and Casino being built in upstate New York. We invested $23 million in the first lien term loan. Empire Resorts is the sponsor. We lent $30 million of senior subordinated debt to Sonny's Enterprises. Sonny’s manufactures and distributes carwash equipment and parts. Sentinel Capital is the sponsor. Sotera Defense Solutions is a technology and engineering solutions firm serving many governmental agencies. We bought $19 million of first lien term loan. Ares is the sponsor. Turning to the outlook, we believe that 2017 will be active due to growth in M&A driven financings. Due to our strong sourcing network and client relationships, we're seeing active deal flow. Let me now turn the call over to Aviv, our CFO, to take us through the financial results.
Aviv Efrat: Thank you, Art. For the quarter ended December 31, 2016, recurring net investment income totaled $0.16 per share. In addition, we had $0.03 cents per share of other income and $0.02 per share from the fee waiver. As a result, net investment income for the quarter was $0.21 per share. Looking at some of the expense categories, management fees after waiver totaled $8.1 million. General and administration expenses totaled $1.6 million and interest expense totaled $6.7 million. During the quarter ended December 31, unrealized gain from investment was $25 million or $0.36 per share. We also had unrealized gain from our various debt instruments of $6 million or $0.08 per share. We had about $22 million or $0.31 cents per share of realized losses. Excess dividend over net income was $5 million or $0.07 per share. Consequently, NAV per share went up six times from $9.05 to $9.11 per share. As a reminder, our entire portfolio, credit facility and senior notes are marked-to-market by our board of directors each quarter using the exit price provided by independent valuation firms, security and exchanges, or independent broker dealer quotations when active markets are available under ASC 820 and 825. In cases where broker dealer quotes are inactive, we use independent valuation firms to value the investment. Our overall debt portfolio has a weighted average yield of 11.9%. On December 31, our portfolio consisted of 60 companies across 27 different industries. The portfolio was invested in 39% senior secured debt, 33% in second lien secured debt, 16% in subordinated debt, and 12% in preferred and common equity. 78% of the portfolio has a floating rate, including 71% with a floor and the average LIBOR floor is 1.2%. Now, let me turn the call back to Art.
Arthur Penn: Thanks Aviv. To conclude, we want to reiterate our mission. Our goal is to generate attractive risk adjusted returns through income, coupled with long term preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle market companies that have high free cash flow conversion. We capture that free cash flow primarily in debt instruments and we pay out those contractual cash flows in the form of dividends to our shareholders. In closing, I’d like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your continued investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Kyle Joseph with Jefferies.
Kyle Joseph: I just wanted to get a little more color on the deal flow in the quarter. Obviously it was very active, one of your more active periods in recent memory. I was just wondering, is that demand driven? Is some of that just a bit of timing in terms of when deals are actually getting completed and your outlook for deal flow and whether that’s changed at all over the last call it three months?
Arthur Penn: Thanks, Kyle. So there was a seasonality to our business. Seasonally many deals do get closed in the December quarter and the first quarter of the calendar year is a little slower and we're seeing those trends, certainly this year as well as almost every year we've been in business. Additionally, the quarter ended September 30 was a very light quarter for us. And since each of these deals are idiosyncratically originated and diligence, as you know it's really hard for us to predict when deals are going to happen or not. We had a light September quarter. We had a very active December quarter. We don't yet know how the March quarter is going to be, although as typical January usually pretty light, but backlog seems to be decent and building. So we don't know whether it’s going to close on this side of March 30 or the other side of March 30. We're comfortable with our investment team and the looks we get and the overall market relative to the size of this fund is very large. So we feel as though we can continue to generate attractive risk adjusted returns.
Kyle Joseph: Got it. And then just maybe a little more color on your outlook for credit. I know you guys are highlighting that you're focused on investing higher up the capital spectrum, but at the same time we've seen your non-accruals trend down. We saw some unrealized appreciation in the portfolio. And so just your outlook for credit more on a near term basis and then out, maybe if you take it out a few years, how's your outlook.
Arthur Penn: Well look, the economy seems to be doing well, right? This cycle has lasted longer than we would have thought. That said and given this point in the cycle and given what we’re trying to do in PNNT, we want to try to find really great companies and not reach for yield and try to stay as high in the capital structure as we can and find companies that we think are really safe. So it seems like the economy is doing just fine. We still want to have a lower volatility lending portfolio in the portion of our book that is not equity and not energy related.
Kyle Joseph: Great. Thanks so much for taking my questions.
Operator: We’ll take our next question from Rick Shane with JPMorgan.
Richard Shane: Hey, thanks guys. And Kyle really sort of touched on my key theme, which is the velocity of originations and exits during the quarter, but love to get your sense is, was there - is there any impact on the sponsor community from uncertainty around taxes? And do you think that there was any delay in closing deals related to sponsors potentially waiting for a better tax year in 2017?
Arthur Penn: That's a very insightful question and you would have thought that if you're a seller of a company in particular, if you're selling your company, you might have wanted to time that sale to be in January for the potential prospects of a lower tax bill. Interestingly, we did not really see that. We still saw the same behavior like we kind of always do, which is for some reason people want to try to get deals done and dusted before year-end. Maybe they thought the tax situation was uncertain and a bird in hand. So we did not see much impact, although you would have thought rationally there would have been.
Richard Shane: Got it. And when you're talking to sponsors out there right now, what is their preferred form of exit? Is this M&A? Is this public exits? What is sort of as they're reaching end of life on funds, how are they thinking about exiting their positions?
Arthur Penn: Look, I think the nice thing about selling the company is you're entirely out. You get a nice price. As far as we can tell, multiples are very high. There are some sponsors who elect, if the company is big enough, now most of the companies we're financing are generally not big enough to make attractive IPO candidates. Every once in a while there is one like e.l.f., the cosmetics company we invested in was on such a growth trajectory. It’s a consumer cosmetics company. The sponsor there elected to do the IPO and not take all the chips off the table, but let it ride for a little while as a public company. So is it depends on the particular situation. The vast majority of the deals we do, the companies are really too small to be attractive IPO candidates.
Richard Shane: Got it. And I’m more curious if you think the exits now are M&A driven or actually just sort of sales to other sponsors because it does seem like a lot of these companies serially move through the private equity community.
Arthur Penn: That's an insightful point. And there is quite a few sponsor to sponsor deals. So what we have to recognize as a lender is we’ve got to number one, protect our capital. Obviously every once in a while, we do these equity co-invests, but when multiples are very high we should and we do try to shy away from the equity co-invests when the multiples are higher when we see it. So it's a sponsor to sponsor trade. It is a signal for us to be even more cautious than normal.
Richard Shane: Got it. Okay, thank you, Art.
Operator: We’ll take our next question from Doug Mewhirter with SunTrust.
Doug Mewhirter: Good morning. A couple of questions. First, a very quick numbers question for Aviv. I noticed your effective interest rate on your average debt balance on your liability side of your balance sheet, was down sequentially by quite a bit. Is that just a function of your drawing more off of your credit line versus fixed debt or was there something else there or timing issues? And is that something - is that a pace that we could expect for the balance of the year?
Aviv Efrat: Right. That’s exactly right. It’s more drawing on the credit facility, the revolving credit facility versus the fixed. And yes, there's - a lot of it has to do with timing. So as the deals close, obviously we draw just in time cap from the credit facility. So it's hard to predict what it will be next quarter but we definitely think it will be in that zip code, but it's hard to predict what you put in your model for next quarter.
Doug Mewhirter: Okay, thanks. Art, on the exit side, looking at your portfolio and based on conversations with your portfolio companies, is there any - do you have any kind of outlook on exit activity for this quarter? It actually seemed a little bit low for this just immediate past quarter.
Arthur Penn: Yes. It was the low and what happens with some of our bigger companies when they can get sold or when there is a - if they're bigger and they have the opportunity to access the broadly syndicated publicly traded high yield markets, sometimes they do. So we finance companies that have generally $10 million of EBITDA up to $40 million or $50 million of EBITDA. Once they get up to the 40, 50 and you have a bullish broadly syndicated or high yield market, which is what you do now and you can refinance our higher yielding piece of paper with something lower, they look to do it. So we had I think 60-ish or 70-ish million of repayments last quarter. I think we're going to at least have that this quarter but we'll see. But the broadly syndicated markets are very [variable] right now.
Doug Mewhirter: Thanks for that. And my last question, notice in your opening remarks you had two separate investments in casino companies or companies that own casinos. And on one hand casinos, are a classic defensive investment because people say gambling never gets affected in an economy, but also I know casinos are very highly local businesses and they have their own sort of risk. I just wonder if you could just go into more of what made these particular ones attractive. And also I assume they don't qualify for SBA financing because they're gambling.
Arthur Penn: That's right. So gaming - and we don't call it gambling, Doug. We call it gaming. Gaming, it does not fit in the SBICs. We've been making gaming investments for almost since the inception of the firm. Our investment thesis is pretty similar in almost all cases. If we can get a first mortgage on a box and we think the box is in a good location relative to the population base and the likely usage, those have been very good investments to date. Touchwood, we've had an excellent track record in that. The two deals this quarter were Montreign Casino. That's a Catskills. That's a Catskills property sponsored by Empire Resorts which is ultimately getting very large global gaming operator. They put a ton of equity underneath of us. We think it's going to be an attractive market particularly relative to the amount of debt that's on the balance sheet. Fantasy Springs, which is the one in Palm Springs has been operating for a while. And so that's not a new bill. That's an existing cash flow that where they get a recapitalization. There was reduced debt on that balance sheet and we felt good about the cash flow relative to the debt and relative to the Palm Springs market. But ultimately it's about the population base and the customer base relative to the number of gaming facilities that are in the market. We got comfortable - both of these - these are usually top of the capital structure firstly and every once in a while, we'll do a second lien where it's a special situation but these two were first mortgages.
Doug Mewhirter: Great. Thanks. That’s all my question.
Operator: Next we'll go to Paul Johnson with KBW Investments.
Paul Johnson: Morning guys. Thanks for taking my question. I just had a couple of questions on a couple portfolio companies, the first one being ETX Energy. I was wondering if you guys kind of provide an update as far as what drove that that - their value mark higher this quarter over last. And also I guess in conjunction with that, if that’s something you're seeing across the board with other energy investments or if it's more related to a particular type of business or region or anything like that.
Arthur Penn: So ETX, number one just overall, energy is feeling better. Anecdotally the tone is better. I think investors and energy companies and management teams are a little bit more on their toes than their heels now. There’s been a bunch of capital markets activity. There’s starting to be M&A activity. So the tone has gotten better. ETX did its restructuring, which - this company used to be called New Gulf and was restructured about six months ago. And for the first quarter or two we kind of kept the - or the independent valuation firms kept the value roughly at deal value of the restructuring. Now that the company is six months out, the valuation firms looked at the actual underlying assets, where the assets were located, where the comps were trading and are trading and that's why you're starting to see some lift in the valuation of that name. We think ETX/New Gulf has some very interesting reserves and places where those reserves are. A year ago at this time people thought it was not worth a lot of money. Today people are thinking it's worth more money. We'll see. We're very hopeful about ETX. And my comments also apply to the overall energy space as well.
Paul Johnson: Good. That’s good to hear. And then I guess along with that, I was wondering if you can kind of provide a current update on US well services as well given that another VC disclosed that they had restructured I guess their first lean loan and I'm not sure if it was in the same tranche as you guys or anything like that, but just kind of an update on that business as well.
Arthur Penn: Sure. So it's a good question and there was an out of core restructuring that was completed about a week ago. We are in the term loan and lenders did provide a revolver. So pro forma for that redo PNNT holds about $2.3 million of L plus 600 revolver, 1% floor. So we participate in the revolver, a very attractive revolver. And then we have $9.5 million of a reinstated term Loan L plus 900 with a 1% floor or if it's pick, it’s L plus 1,100 with a 1% floor. PNNT will own about 5.9% of the equity of the company.
Paul Johnson: Okay. Thanks for that, and then the last one is more of like a general question. I was wondering if you can kind of inform investors, as far as these loans that you're making for a typical first lien, second lien or any mezzanine loan that you guys would make, are these generally quarterly or semi-annual payments? And then just kind of walk me through the basic structure as far as how those compounds reset over time. Is there - is it something that was said at the beginning of the quarter, payable at the end of the quarter? So there's affectively like a quarterly lag if you will between the reset date if terms of interest rates moving up if it's stepped up.
Arthur Penn: Yes, that's exactly right. It's usually correlate - it usually is set at the beginning of the quarter, but quarter payable at the end of the quarter.
Paul Johnson: Okay. That’s all for me. Thanks guys.
Operator: We’ll take our next question from Christopher Nolan with FBR & Company.
Christopher Nolan: Thanks for taking my questions. The yields on the portfolio were flat quarter over quarter despite the increases in senior secured. Is this really just because of timing issues for new investments coming in? Were they coming …
Aviv Efrat: Right. That’s right. When we put about 11.2 for - that’s the yield on the new additions that we put. Nevertheless, the overall portfolio remained at 11.9%. So combine that with some of the exits we had and the timing we put in the new investments, that’s the reason why you see the overall portfolio yield there’s no change.
Christopher Nolan: Right. And so on that basis we should expect some decline in this coming quarter - in the current quarter, right?
Arthur Penn: Yes. Look, it was strategically, as we think about what we're trying to do and we're trying to have a less volatile lower risk, a little bit more secured higher in the capital structure portfolio where we’re happy to trade off and get higher quality companies, better credits, lower yield. What's really going to drive NII is usage of the SBIC, rotating the equity co-invests, seeing some more gains on our energy portfolio. That's going to drive NII much more than whether our portfolio is going from 12% to 11%. So you should expect to continue kind of yields over time going down to 11%. Hopefully we can be very efficient with all these other tools we have, SBIC equity rotation energy investments to more than offset that.
Christopher Nolan: Art, is the focus more on senior secured or higher up the capital structure focus on particular industries or is it just across the board?
Arthur Penn: It’s generally across the board, although given where we are in the cycle, we're trying to continue to find less risky industries, less risky companies. We have plenty of equity co-invest and we have some energy stuff. So we've got some higher beta stuff with some interesting upside. The rest of the portfolio we want ourselves and want everyone else to sleep at night and feel safe about the income coming in, feel safe about the dividend. Obviously we adjust their dividend for ourselves and everyone else to feel comfortable about it. So we really wanted to be viewed as a safe, solid, sustainable dividend with some upside in income from the SBIC, from equity rotation, from energy and would be an ANV upside and potentially from Libor going up. Obviously most of our liabilities are fixed. Most of the assets, over 80% are floating at some point when the BDCs will benefit from Libor going up.
Christopher Nolan: Okay. And then on the realized losses, what were those drivers there?
Arthur Penn: The big realized loss was Bennu which was an oil and gas company that liquidated during the quarter. Very disappointing outcome that had been marked down consistently over time and drove the big realized loss.
Christopher Nolan: And how about American Gilsonite?
Arthur Penn: American Gilsonite was roughly, no real material change in market. That went through its restructuring. It went through its bankruptcy, came out and we have a couple of pieces of debt and a piece of equity in the newly restructured company and that's on the balance sheet as of 12/31.
Christopher Nolan: And lastly, Trust Inns Limited. I saw there was an $8 million unrealized depreciation. Is that true?
Arthur Penn: Yes. So that’s a British company. It owns a bunch of pubs. A steady, stable business we believe. That mark down has nothing to do with the credit. It’s really a par asset, but because it's in Sterling, you saw the mark down there in the asset. You also saw a mark down in the liability of our credit facility. So just to be clear, most of the mark down in the credit facility because we borrow Sterling so that we can lend in Sterling so that we really hedge from a currency basis our foreign investment. So in that case we borrowed Sterling to lend to the pub company in the UK. When you see that mark down in this case, it's only from the currency. You see the mark down in our credit facility, which again is an offset, almost 100% offset at NAV.
Christopher Nolan: Final question. Given that you’re focusing more higher in the capital structure, are you looking for deals where you were first in line or is there usually a bank in front of you?
Arthur Penn: It's all facts and circumstances of the particular situation. We don't love revolvers. So every once in a while, we have to do the revolver or we let someone come in ahead of us in the revolver. We try to have the revolver will be carry pursue, but revolvers are not efficient for us to own, so we try to stay away from them. So every once in a while we’ll have someone come in ahead of us. Sometimes it will be a classic second lien where we have a first lien ahead of us. Sometimes it will be kind of a hybrid where we're somewhere between the first lien and the second lien and sometimes it will be a classic first lien. So it just depends on the facts and circumstances of the situation. And we also want to know if we have someone ahead of us, we want to know who they are, what their character is, how they behave in downside scenarios. We're very focused on who's in the capital structure with us.
Christopher Nolan: Okay. Thanks Art.
Operator: We’ll take our next question from Jonathan Boch with Wells Fargo Securities.
Fin O’Shea: Hi guys. Fin O'Shea in for Jonathan Boch this morning. Thanks for taking our questions. First just wanted to ask a global, a quick follow up in fact to Mr. Nolan's question just now. We saw the bias toward first lean which is more conservative, but your yields are, I think you said 11.2% on average which is very strong in today's market. So can you describe a little more the nature of those deals if they represent new origination efforts or if not, how they differ from second lien or sub in terms of quality?
Arthur Penn: Yes. So it's a great question and look, these are all a mix. We don't have any one size fits all. In certain cases when we're investing in a smaller company like Cano or like Juniper Landscaping, those were first liens. Those were smaller companies. Those were essentially unit tranche where it was our piece of paper and the sponsor. So we were able to get an attractive yield on those. So in certain cases we’ll do second liens and that was certainly what we did in Acre Operating Company. That's what we did in Harbortouch. So it's a mix of different things. We did classic mezzanine debt in some of these enterprises. Some people think mezzanine is a product of the past and certainly mezzanine, you don't see a lot of it around there - around anymore. But every once in a while, when a sponsor that we know and like and we've got a good track record with, asks us to do mezzanine, we really feel comfortable with the credit which we feel it. On Sonny’s we did a $30 million classic mezzanine deal. Sotera Defense, that was a loan we already had. We bought some more in the secondary market. That is a first lien. It's a stretch year first lien. So you're right. To get an 11% blended, there's not a lot of what we call classic first lien in the bunch. The classic first lien when it comes into PennantPark, usually ends up in PLST. So these were stretch year first lien, some second lien, some mezz, or some companies that were probably a little smaller and we were able to get a higher return.
Fin O’Shea: Okay, that helps very much. On those smaller ones, Cano and Juniper I think you mentioned, what kind of percentage did you guys speak for in those deals?
Arthur Penn: 100% or pretty close to 100%. Every once in a while the sponsor will say can they put a friend in for a little bit, but we’re I think on both those the sole lender.
Fin O’Shea: Very well. Thanks. Then you mentioned Sotera as well. That, in the secondary market, did you buy the same the same tranche or did you buy it from someone ahead of you, like a banker?
Arthur Penn: Same tranche. That one has a maturity coming up so we think there is a catalyst at some point for that one.
Fin O’Shea: Okay, very well and just one more. What percent of the portfolio roughly is pick cargo but currently paying all cash?
Arthur Penn: What percentage is pick cargo but currently paying all cash?
Fin O’Shea: Like how much in cost or fair value roughly?
Arthur Penn: Well, in terms of overall, about 15% of our revenues is either pick or OID. In terms of - we’d have to get back to you, Fin, on you’re asking the companies that have the pick cargo option, what percentage they pay in cash. I’d venture to guess a low percentage of the companies that have a pick option are paying cash, but we will give you a shout later today with the specific number. But I'd venture to say it's pretty low.
Fin O’Shea: Awesome. Thanks so much guys again.
Operator: Next we’ll move to Mickey Schleien with Ladenburg.
Mickey Schleien: Good morning, Art and Aviv. Well, this late in the call there's not a lot left to ask, but I did want to go back to leverage. I think in your prepared remarks, you mentioned that from a regulatory perspective you're looking for 0.6 to 0.8. So you're in that tranche now. We’re in that range now. But your total leverage has exceeded one times in terms of debt to equity for the first time. So could you give us some color on what your total leverage target is as well?
Arthur Penn: Sure. So we also by the way, Mickey, also look at net of cash. So there's a reasonable amount of cash on the balance sheet. So regulatory …
Mickey Schleien: Payable for purchase?
Arthur Penn: Yes. So from a regulatory standpoint we were 0.64 at 12/31 and total deducting cash we were 0.94. So look, we're working it. I mean obviously stuff that we like that fits the SBIC which does not hit the regulatory and that's very attractive long term financing, we like that. And the rest of it, whether we’re targeting 95 or 100 or something in that zone or something a little over, it's going to be dependent on ANV. It's going to be dependent on how we can rotate the equity portfolio. It’s going to depend on a lot of other factors, but we're focused on keeping leverage reasonable, keeping liquidity in our portfolio. I think about 25% of the portfolio does have a broker dealer quote so there's always a source of liquidity if we need it. So we’re looking at it hard. We're on top of it and we're just trying to optimize the outcome for everybody.
Mickey Schleien: And Art, have the credit agencies seen these new leverage numbers yet for Pennant?
Arthur Penn: We keep the agencies up to date and we've been exuding for a while that we're moving to a lower risk, lower volatility, more secured portfolio that perhaps can justify slightly higher leverage and our ANV has been trending positive. So we're always in touch with the agencies. They’re a very important constituent for us. I think we mentioned last call when people said why didn’t you do more of a stock buyback? We said we're really focused on keeping our investment grade ratings. We’re on watch from S&P and Fitch and we are focused on keeping our ratings, which is the biggest reason we're not pursuing a stock buyback at this point.
Mickey Schleien: Okay. Just a couple more questions. Art, can you remind us how much SBIC debt capacity you still have available?
Arthur Penn: Aviv, you want to take that one?
Aviv Efrat: Yes. Certainly. So SBIC II can ultimately take $150 million. We have borrowed about $40 million or so to date on the SBIC II. So we have plenty of room to grow there and a reminder that we can always have the option to go SBIC III for an extra $50 million. That’s kind of a preview, but we have plenty of room to grow on SBIC two.
Mickey Schleien: You said SBIC two has $40 million outstanding out of the 75?
Aviv Efrat: To date, yes.
Mickey Schleien: Okay. So there's a little bit there without an SBIC III.
Aviv Efrat: That is correct.
Arthur Penn: It’s quite …
Mickey Schleien: And is there enough, given the constraints of the collateral and the credit facility and the advance rates, could you equitize SBIC III without issuing additional equity?
Arthur Penn: Sure. I mean look, given the fact that we have some liquid assets in the portfolio, we always have the option to create liquidity that way.
Mickey Schleien: Okay. And just one final question. Art, your comment - I appreciate your comment on Trust Inns and I suspected that was the issue. Is that also the situation with Goldsun which is your other British investment?
Arthur Penn: Yes. So Goldsun is another UK company, same thing. We think it's - I mean the valuation firms marked it a par in Sterling and then it was a question of translating that back to dollars.
Mickey Schleien: Okay. And lastly, you're somewhat out earning the new dividend of $0.18. But $0.02 of that is the fee waiver. That goes through the end of this year. How are you and the board thinking about the management agreement with respect to fees and as well as look backs and perhaps to align it a little bit more with what we've seen in the more recent vintage BDCs?
Arthur Penn: The board looks at it all the time. Just a note, that's a 16% fee waiver for the rest of 2017. The energy piece of the book today is only 10% or 11%. Just to point out that fact. We hope that the energy piece goes up with NAV is going up in energy. But we waived the fees for all of two 2017. The board and management talk about it all the time and then there’s focus on that.
Mickey Schleien: Okay. Those are all my questions. Appreciate your time.
Operator: [Operator Instructions] We’ll take our next question from Casey Alexander with Compass Point Research & Trading.
Casey Alexander: Good morning. Most of my questions have been asked already, but I did have a couple. One, you seem to have still substantial borrowing capacity under the credit facility, even substantially more than would be necessary to achieve your target leverage ratio. Have you considered taking that down, some of them to reduce some of your unused fee commitments?
Arthur Penn: It’s a great question, Casey. We think about it all the time. It's the push, pull of completely optimizing to the last penny versus in fig world some people say, always stockpile liquidity because you never know when you’re going to need it. So that's the push pull we have internally as we debate that question. It’s an excellent question. Right now we’re keeping it where it is, but it's a great question.
Casey Alexander: Okay. And secondly, just so I don't have to go to try to figure it out through 30 different sets of numbers. On Bennu, your realized loss, was that a liquidation of the company or was it a sale to a third-party of your position and how did the closeout price compare to your third quarter mark?
Arthur Penn: The company was liquidated. We got a very low number and it was lower than our mark. So we missed. We missed that one. It’s a mistake from the get-go and it's painful.
Casey Alexander: All right, great. Well listen, I appreciate your taking my questions. Thanks very much.
Operator: Next we’ll go to Chris York with JMP Securities
Chris York: Good morning guys and thanks for taking my questions. So I just have one as most have been asked, and I did miss your prepared remarks so forgive me. Missed it. But have you been locked up in the e.l.f. equity, and if so, when does that expire?
Arthur Penn: That’s a great question. We are locked up. I think we're locked up for another month or two and then we're going to stress options.
Chris York: Sounds good. That’s it for me. Thanks guys.
Operator: Next we’ll move to Jim Young with West Family Investments.
Jim Young: It's somewhat of a follow-up to Chris's question with respect to your equity, deferred and common equity exposure, which is still relatively substantial and you seem to suggest it's going to be climbing over time. Just wondering, do you have a target in mind, either percentage or absolute dollars by the end of the fiscal year? And I would estimate that would be redeployed into like first lien loans if that capital becomes available?
Arthur Penn: That's a great question. Certainly e.l.f. is a meaningful investment which is about 2% of the portfolio or at about 12% as of quarter end, as of December 31. We've always said 5% to maybe 10% of the portfolio should be equity. Now some of that is equity co-invest. Some of that is where you convert debt to equity and sometimes it's out of your control because hopefully your equity gets marked up and you made some good investments as was the case with e.l.f. and then unfortunately every once in a while you have mark downs. But we think as an overall proposition, a 5% to 10% of the portfolio in equity is the right place to be.
Jim Young: Art, 5% to 10% is still a pretty wide range. I guess in this environment, would you be more inclined to be at the lower end or the higher end of that range?
Arthur Penn: Look, as we look at new deals certainly when we have the equity co-invest option, if the multiples are very high we're probably going to decline those equity co-invests. So in terms of the new deals where we have the option to co-invest in the equity, you would say it would come down. We cannot tell you with absolute foresight once we are already in equity co-invest where there’s going to be value going forward. Some of them work out really well. Some of them don’t. And then we have the equity pieces that we get from restructurings. We talked about American Gilsonite. We converted debt to equity. That’s a little bit less in our control. We obviously don't want to make investments or go through restructurings, but every once in a while it happens and you have to convert debt to equity. So yes, in a perfect world, 5%. But I think just in terms of the reality of the way the business works with deals that go well, some deals that don't go well, 5% to 10% is the relative range.
Jim Young:
Operator: You have any further questions, Mr. Young?
Jim Young: No. I'm fine. Thank you very much.
Operator: Thank you. That concludes today's question-and-answer session. At this time I would like to turn the conference back over to Mr. Art Penn for any additional or closing remarks.
Arthur Penn: Just want to thank everybody for being on the call today and for your interest in PNNT and we'll speak to you next quarter. Thank you very much.
Operator: This concludes today’s conference. Thank you for your participation.